Operator: Greetings, and welcome to the Gaming and Leisure Properties, Inc. Fourth Quarter 2025 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. If anyone should require operator assistance, please signal an operator. As a reminder, this conference is being recorded. It is now my pleasure to introduce Joseph Jaffoni, Investor Relations. Please go ahead. Thank you, Paul, and good morning, everyone, and thank you for joining Gaming and Leisure Properties, Inc. Fourth Quarter 2025 Earnings Call and Webcast.
Joseph Jaffoni: Press release distributed yesterday afternoon is available in the Investor Relations section on our website www.glpropinc.com. In addition to the fourth quarter press release, GLPI also posted a supplemental earnings presentation which highlights the events of the quarter, recent developments, and future considerations that can also be accessed at www.glpropinc.com. On today's call, management's prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ materially from those discussed today. Forward-looking statements may include those related to revenue, operating income, and financial guidance, as well as non-GAAP financial measures such as FFO and AFFO. As a reminder, forward-looking statements represent management's current estimates, and the company assumes no obligation to update any forward-looking statements in the future. We encourage listeners to review the more detailed discussions related to factors and forward-looking statements contained in the company's filings with the SEC, including its 10-Q, and in the earnings release, as well as the definitions and reconciliations of non-GAAP financial measures contained in the company's earnings release. On this morning's call, are joined by Brandon John Moore, President, Chief Operating Officer; Desiree A. Burke, Chief Financial Officer and Treasurer; Steven L. Ladany, Senior Vice President and Chief Development Officer; and Carlo Santarelli, Senior Vice President, Corporate Strategy and Investor Relations. With that, it is my pleasure to turn the call over to Brandon John Moore. Brandon, please go ahead.
Brandon John Moore: Thanks, Joe. Good morning, everyone. We appreciate you being on the call today. And before we dive into the quarter, I will address the obvious absence of Peter on our call this morning. For those of you that have been dialing into these calls at GLPI and prior to that, Penn, for the last three decades, Peter’s voice is the one you would expect to hear. Unfortunately, he is unable to join us this morning due to some lingering back issues. He is having a procedure this morning ahead of some upcoming travel to get him back on his feet. So we will miss him this morning, but he asked us to share some prepared remarks, which I will do, then turn over to Desiree, and then we will move to your questions. So moving on to Peter’s remarks, enter 2026 in an enviable position with what I would consider to be the most visible line of sight towards healthy multiyear AFFO growth that I can recall. Our pipeline entering 2026 is deep, with $2,600,000,000 of future capital commitments poised for deployment over the next 24 months. Our balance sheet is well positioned to support our growth without the need for incremental capital and our tenants, as evidenced by our robust rent coverage metrics, remain healthy. We recently completed the acquisition of Bally’s Lincoln, an asset we have long coveted, for $700,000,000 at an accretive 8% cap rate while also closing on the real estate related to Cordish Live! Virginia project, to which we have committed an incremental $440,000,000 towards the development. In addition, funding remains ongoing in Bally’s Chicago with roughly $740,000,000 left to spend towards the development as of 12/31. The project remains on schedule for the first half 2027 opening with the hotel tower surpassing the 20th floor. On the tribal front, we eagerly anticipate the grand opening of the Ione Band Acorn Ridge next week. Development activity at Caesars Republic Sonoma remains ongoing. Overall, we believe the strength of our tenants, the strength of our leases, the depth of our pipeline, and the condition of our balance sheet position us well to continue to execute and grow the business in 2026 and beyond. With that, I will turn it over to Desiree, and then we will move to questions.
Desiree A. Burke: Thanks, Brandon. Good morning. The 2025, our total income from real estate exceeded the 2024 by over $17,000,000. This growth was driven by cash rent increases of over $23,000,000 resulting from acquisitions and escalations. For Bally’s, the acquisition of Bally’s Kansas City and Shreveport real estate increased their cash rent $6,600,000. The Chicago lease increased cash income by $2,600,000, and the Belle development increased cash rent by $1,900,000. For Penn, the Joliet funding and M Resort funding increased cash income by $4,400,000. The Sunland Park and strategic acquisition increased cash income by $3,200,000, and then the recognition of escalators and percentage rent adjustment on all of our leases added approximately $4,300,000 of cash income. The combination of non-cash revenue gross-ups, investment in lease and straight-line rent adjustments partially offset these increases resulting in a collective year-over-year decrease of $6,200,000. Our operating expenses decreased by $37,800,000, mainly due to a non-cash adjustment in the provision for credit loss. Included in today’s release is our guidance for 2026 AFFO between $1.207 billion and $1.222 billion, or between $4.06 and $4.11 per diluted share and OP units. The guidance does not include the impact of future transactions. However, it does include our anticipated development fundings of approximately $575,000,000 to $650,000,000 related to current development projects such as Chicago, Ione, Marquette, Dry Creek, and Virginia. These will be funded relatively evenly by quarter throughout 2026. And in addition, the acquisition of Penn’s Aurora facility, $225,000,000, is expected late in 2026. And the completion of the $700,000,000 Lincoln acquisition, which is now complete, was also anticipated in our guidance. Lastly, the anticipated settlement of $363,000,000 of our forward equity is expected on 06/01/2026 in our guidance. From a balance sheet perspective, our leverage ratio is 4.6x, well below our targeted and historic levels. Given our current balance sheet position, the several-year runway to fund our development projects and our annual free cash flow over that time frame, we have optionality to fund our future accretive commitments. As a reminder, our significant installment projects pay us cash rent upon funding, and our rent coverage ratios on our master leases are now ranging from 1.69x covered to 2.6x covered as of the prior quarter end. With that, operator, please open up the line for questions.
Operator: Thank you. We will now be conducting a question and answer session. One moment please while we poll for questions. Thank you. Our first question is from Ronald Kamdem with Morgan Stanley.
Ronald Kamdem: Great. Just two quick ones. If we could just start on Bally’s Chicago, that development project and so forth, you could just give an update on sort of the milestones, how that is sort of going. I saw you funded some of that in April with some left to go. Thanks.
Carlo Santarelli: Sure. There was a report actually, I think, I do not know which publication put out this morning about the crane movement over the weekend, but the project is going well. We would estimate that it is over 20% complete at this point. There is over 300 employees, our average daily crew on the site. Hotel structure, as was mentioned in the opening remarks, we are currently on level 21 of what will be 34 floors total. The curtain wall glass has started on the 6th floor. It is currently on the 8th floor on the hotel. And on the casino podium, we are nearing completion of the phase two structural steel and the decking. So the project is moving along nicely, and I think that you have probably noticed they put out a request to extend the length on the temporary facility. We expect that the project should conclude and open sometime in 2027. And so I think from that perspective, do not know if anyone else has anything to add to that.
Carlo Santarelli: The only thing I would add to that, Ron, is the development timeline that we have contemplated here internally at GLPI is consistent with the message that Steve just delivered. First half 2027 opening. Our development financing has kind of stretched out that long. So despite the request that many of you saw a couple weeks ago, there has been no change from our perspective. Great. And then, you know, my second question was just on the pipeline. Obviously, Lincoln is through, and you got that done. Any sort of any comments on, you know, I remember there was sort of a lender consent that needed to go through and so forth, how that sort of progressed along. And then any broader comments on the pipeline in general between tribal and non-tribal would be helpful. Thanks.
Carlo Santarelli: I will talk a little bit about the first part. I think with the Ares refinancing that they announced, the lender consent was solved. So that was the impediment on Lincoln. They solved that with the refinancing that opened up Lincoln for us to acquire. So that one is pretty easy.
Brandon John Moore: I will address a bit of the pipeline. I think, you know, obviously, there is a lot of stuff we cannot talk about here internally at the company. On the tribal side, you know, we continue to have gained traction with various tribes with different potential uses for our capital structure. We obviously announced Dry Creek recently. I would not say anything is imminent there, but there are a lot of really productive conversations going on with tribes that would involve our new financing structure. So we will see. Anybody, I do not know if you guys have anything to add on the pipeline.
Desiree A. Burke: Yeah. No. I think the supplemental has a great slide on page eight with the pipeline. Right? So we have the $2,000,000,000, which $700,000,000 has now been completed. So we are down to $1,900,000,000. And all of the projects are listed there. And as I said, the guidance does include between $575,000,000 and $650,000,000 of the development funding. So those projects that I mentioned that are development. And then in addition, we have the Aurora project for $225,000,000 left to occur.
Ronald Kamdem: Great. That is it for me. Thanks so much.
Operator: Our next question is from William John Kilichowski with Wells Fargo.
William John Kilichowski: Hi, good morning. Thanks for taking my question. The first one for me is just both on Vegas and New York. I do not know if you can give us updates on either of those projects, whether there is an idea of what commitments will look like. I know that we have a number on Vegas. But there is room for expansion in New York if we can start to talk about sizing of opportunity there.
Brandon John Moore: Yeah. I will take the first part of it with Vegas. I will turn it over to Steve to talk a little bit about New York. In Las Vegas, what I can tell you is Peter and I were out there together last month to visit with the A’s team and to walk the site and their experience center. The stadium is progressing at a pretty rapid rate. I think they are actually a little bit ahead of schedule on the stadium now. And all I can say is I think they are building a spectacular product. I think the site will see a first-class stadium product that is not just a baseball stadium, but also an entertainment venue, which I think is really important for this site. You know, they bring fans very close to the field with this new stadium, and it opens itself up quite nice, you know, 25,000 to 30,000-seat entertainment venue. So I think both we and folks in Vegas are very excited about the potential that that attraction brings to the site. With respect to the integrated resort, you know, we are really looking to Bally’s to finalize their plans. They have released a lot of renderings, some preliminary permit applications for the site. They have indicated that they intend to phase the site, which is not any surprise to us. And at the present time, we are sitting on our remaining commitment of $125,000,000. We will consider investing more in the property as the details of the property become more available. I think the key for us is to ensure that whatever investment we have in the property that the revenues that will be generated there can support our rent. You know, we have been hyper-focused on coverage since the day we spun out. We will continue to do that, and Vegas is no exception. So I think it is a great opportunity. It is a great amenity that the A’s are bringing to that site. And we will see how Bally’s looks to take advantage of that.
Carlo Santarelli: I can speak to New York. I mean, with respect to New York, we continue to view Bally’s development as an attractive opportunity in New York, and we would certainly like to be a participant. That said, we recognize that there is likely no shortage of providers for that project and there is continued interest that we continue to hear about. So we remain in discussion with them. We are monitoring the process. I am not sure that they will need our capital. So I guess to put it frank, I think to dispel any notions that may exist, we view it very unlikely that we would end up providing the majority of the capital for a $4,000,000,000 project there. We are going to continue to evaluate the process and the project, and we will look to try to be as strategic as possible with respect to any involvement.
William John Kilichowski: Mhmm. Got it. That is helpful. And then for my second question, maybe could you provide a timeline on the Virginia Live! project? Do not mind losing timeline.
Desiree A. Burke: Well, they opened the temporary in January. And they are beginning the preparation and groundwork on the permanent site. I do not think we have a timeline from Cordish, a definitive timeline from Cordish for opening at this point in time. You may recall from our previous discussion, their capital goes in first. So our funding on that will be after the equity portion of the Cordish Group’s capital is in. So we do not expect to be funding that until the latter half of 2026 into 2027. I do not really have any other updates on that. John, I think for your purposes, the lion’s share of our spend related to the remaining $440,000,000 will occur in 2027. There is likely to be some spend, modest relative to the $575,000,000 to $650,000,000 that we guided in development. Some modest element of that will likely relate to Virginia later in the year.
William John Kilichowski: Got it. Thank you.
Operator: Our next question is from Mitch Germain with Citizens Bank.
Operator: Mitch, are you there? Mitch, is your line—sorry about that. Yeah. Sorry about that.
Mitch Germain: When did the economics of the Lincoln transaction change? I mean, obviously, I know the cap rate was the same, but, you know, I think I had seen $735,000,000 as a purchase price.
Brandon John Moore: Yeah. Yeah. I think, Mitch, when we came time to exercise that option, we had done some new underwriting on the project. There was a little bit of competitive pressure from the tribe and some other things. And in working with Bally, and focusing on the rent coverage, we decided to lower the rent a little bit, which lowered the purchase price. So I would look at it as finding the right level of rent to put into the master lease to come out with a pro forma coverage we were comfortable with, and the rent just yielded that purchase price. So we did not change the cap rate. We just changed the rent. Got you. And then with the Live! project, is it just a traditional lease or will you guys also have a percentage rent option on any of the food and beverage options. Traditional lease. Great. Thank you.
Brandon John Moore: Thanks, Mitch.
Operator: Our next question is from Barry Jonas with Truist Securities.
Barry Jonas: Hey, guys. Good morning. First off, hope Peter gets better soon. Discussions around iGaming and skill-based games in Virginia are back again this legislative session. How would you guys handicap these things actually getting passed, and how could that impact the Cordish project and your underwriting? Thank you.
Carlo Santarelli: Hey. Thanks, Barry. So look, the skill-based stuff is a little bit harder to answer. I think with respect to the iGaming, obviously, there have been a lot of headlines recently. Some of the, I think, thinking maybe a little bit ahead. Some of the stuff that is getting passed is more of a passage for the purposes of being able to continue discussion. There is still some reconciliation between the two bills that need to occur. I think with respect to the Cordish project, what is important to remember, and you could kind of evidence this from looking at the leases in Pennsylvania and Maryland, the underwriting of these leases has always been strong. They are written to be strong. They have done nothing but produce great resorts that cover our rent very thoroughly. I do not see there being any reason to believe this project will be any different than the others out there. Obviously, you know, iGaming will be interesting in how it ultimately gets done, if it gets done, a couple years down the road. So it could benefit some of the land-based operators in this instance.
Barry Jonas: Great. Thanks for that, Carlo. Just as a follow-up on Acorn Ridge, has all the funding been completed as of today? Does any bleed over into future quarters? I know it is opening in four days. And then is the expectation still that the tribe decides in five years whether to convert this to a sale-leaseback, or could something happen sooner?
Desiree A. Burke: So all of the funding has not been completed. We had expected it to be completed over the next few months. There is always a lag between doing the construction and us actually making sure the construction is complete and is thorough before we will fund. So there is a lag. And on the second part of your question, yeah. It is certainly possible that they could convert that to a long-term at the end of the five years, but we do not have any indication at the present time that they have made a decision to do that in five years, let alone to do that sooner. But if they came to us and wanted to convert the loan sooner, I think we would be amenable to that.
Barry Jonas: Perfect. Thanks a lot, guys.
Operator: Our next question is from Smedes Rose with Citi.
Smedes Rose: Hi. Thank you. I just wanted to ask you just a little bit about sort of the pipeline and willingness to continue to commit capital. Mentioned $2,000,000,000 over the next 24 months, so very robust pipeline now. But given sort of, I think, somewhat challenged cost of equity capital, and you have already talked about having to move leverage up a little bit, I realize well within your, you know, comfort ranges. But how are you thinking about adding new projects at this point? And then I guess in general, what is sort of the tenor of conversations like with folks who might be interested in, you know, coming to you for capital?
Desiree A. Burke: So I will start on the leverage piece and then turn it over to Steve to talk to you about our expectations for projects, new projects. So we are at 4.6x levered. And if you layer in what we just did with Lincoln, that would get us to just below 4.9x. We do have the $363,000,000 forward equity outstanding towards the projects. We also have quite a bit of free cash flow in 2026 towards the projects. We certainly do not have to hit the debt or equity markets at any near term for these projects, and we do believe we have them all funded, you know, theoretically on our balance sheet. We know where the money is coming from for the projects.
Carlo Santarelli: With respect to the pipeline, look, I think we continue to be active. We are not turning away accretive transactions underwritten based on our current equity cost of capital associated with our, and then our cost of capital with the debt respect. We are ongoing discussions. Because of where we sit from a leverage profile, it gives us some flexibility. The development transactions that we might discuss with any parties, there is obviously a timing component, so I think that we have given ourselves an added amount of time to raise the capital and decide what form it is going to come in. I think with respect to regular-way sale-leasebacks, we would obviously look to fund those at the time in which they were completed. And I think those, you know, we would welcome those discussions and have welcomed those discussions. And so I think we continue to be as thoughtful as possible, but I do not see any interest here to turn away business just because there is a bunch of business already underwritten and signed up.
Smedes Rose: Thank you. I appreciate it. Quite have quite a bit of availability on our ATM program as well. If in the future we want to raise equity, it is still there, so we have plenty of optionality for future commitments.
Operator: Our next question is from Brad Heffern with RBC Capital Markets.
Bradley Barrett Heffern: Yes. Hey, everybody. Thanks. Best wishes to Peter. GLPI obviously has one of the highest growth profiles in the net lease, great visibility over the next few years. Bally’s seems to have gotten better. At the same time, the stock continues to trade at a discount. Why do you think that is? And is there anything that you guys can do about it?
Carlo Santarelli: Hey, Brad. It is Carlo. Everything you said is accurate. Obviously, you know, you guys could do the math and see what the growth trajectory looks like. The balance sheet is in really good position to fund it. And the stock does trade where it trades. You know, I think in our conversations, certainly, there is a lot of things people can point to. Obviously, the stock performance amongst our tenants is one. There are certainly some issues within the industry as it relates to lease coverages and things of that nature that I think have unnerved some folks. We feel very good about where our leases stand from a coverage perspective, but there are certainly some bigger picture items out there. The equity trading of our tenants certainly being one that does come up quite frequently. And I think those things have harnessed our valuation to a certain extent.
Bradley Barrett Heffern: And then on the funding for Twin River, I know you have a revolver balance that is there for tax reasons related to prior Bally’s acquisitions. Is there something similar for Twin River and how much of the revolver might that represent?
Desiree A. Burke: Yes. So we did use the revolver for that as we told you we would have to to get the Bally’s tax benefits, and we did borrow on the revolver for that transaction.
Bradley Barrett Heffern: Okay. Is it all of it, or is it a subset of the total?
Desiree A. Burke: It is the majority of it, $670,000,000 of it, and there were some units also associated with that transaction.
Operator: Our next question is from Chad C. Beynon with Macquarie.
Chad C. Beynon: Hi, good morning. Thanks for taking my question. You guys have made a lot of progress and really, you know, broken the mold just in terms of activity with tribes. You know, the recent debate or, you know, new input is around prediction markets, in markets where, you know, tribes might have a little bit more exclusivity on the land-based side. So given the CFTC’s view or maybe even support of this new potential competitor, how are you seeing that? And in your current or maybe future pipeline with tribes in these markets, do you think that will affect your activity? Thank you.
Brandon John Moore: I guess the long and short of it is I do not think that will have an impact on our activity with the tribes. I can tell you that the tribes in California, for example, are very focused on being able to offer sports betting exclusively, and the prediction markets threaten that. So they are very active on the legislative front, but I do not see that impact any of the things we are working on in tribal country. At least not today. If predictive markets become a genuine threat to the EBITDA at these, it is obviously an underwriting concern, and things we will take a look at. But as we sit here today, it is currently not something that I think will impact our tribal investments at the present time. Based on the conversations we have had with tribes and the underwriting we have done with respect to the properties that we currently entered into agreements with, and others we have even diligenced, no one is making the predominance of cash flow from sports betting. So I think from that aspect, there are many different areas that they are producing adequate cash to support any type of long-term financing structure. But it has not been a predominance from a sports betting angle. You know, it could certainly be an upside to some of these properties and add revenue, which would be good. To the extent that it is a downside on the predictive market or iGaming side, we are underwriting these deals with such a wide level of coverage that I think that the incremental downside threat to those currently is not something that would impact the durability of our cash flow coming off these, but certainly cognizant of it, and we keep an eye on it. And if things change, then our underwriting will change.
Operator: Great. Thank you for that. And then just in terms of interest in the Las Vegas locals market, the S-4 was out on one of the deals that was announced, I think, between now and the last time you guys reported. So we have a little bit more insight into that. You know, that market continues to do really well just in terms of, you know, from California moving there and just the overall wealth effect and retirement effect. Is that still a market that you are interested in? And do you think there could be, you know, additional opportunities maybe even at a—unfortunately, a slightly higher cap rate than what you are used to doing or—I am sorry. Lower cap rate. Thank you.
Carlo Santarelli: Yeah. I think the short answer is yes. Of course, we are in the Las Vegas locals market. We are very pleased with the performance at the M Resort, which we own. And we get inbound calls around that asset with interest. So I think we continue to have interest. Obviously, Boyd and Red Rock have large presence there. But there are many smaller operators that own, you know, individual or a handful of assets. And we have looked at those in the past, and we will continue to look. So we definitely have an interest. It is a good market. You are right about the demographic shift and some of the movement from California. And we will continue to try to be active there where it fits.
Operator: Our next question is from Anthony Paolone with JPMorgan.
Anthony Paolone: Great. Thank you. With regards to the pipeline beyond what is teed up right now, can you talk about how much of it is perhaps development transactions versus straight up acquisitions? How much might be, you know, more just straight up gaming versus something more adjacent. Just a little bit more color as to what that pipeline looks like and maybe what the impediments have been to get anything else done there?
Carlo Santarelli: Sure. I will give it a shot, and then anybody can add what other thoughts they may have. So I think that the reality is there is probably—I would say, of the pipeline and things we are looking at, it probably would fall in the development part, but it is not because they are greenfield. I would tell you, I think that large gaming operators today are spending plenty of time looking at their own assets and their own portfolios that they currently hold and figuring out where can they make strategic capital investments to better their performance and increase their cash flow. So many of the things that I would put in that 50% bucket are existing assets that people are reinvesting in, whether it is things like Boyd did at Treasure Chest or Penn’s done at, you know, their Columbus property, M Resort, and a few of their Illinois properties. So we have seen a number of instances of people redeveloping properties, adding to properties, expanding properties, and I think that will continue. And I think with respect to some of the smaller or private gaming operators, some of those are new jurisdictions, new opportunity things where, of course, those would fall in the development pipeline. But I think stepping away from that, there are plenty of discussions that we are having around what I would consider to be more traditional sale-leaseback. The reality is, though, most of those are portfolio type of projects, and therefore, M&A is not a quick discussion. Right? So these things take months to talk about, work through details, and effectuate. So I think the pipeline, honestly, if I am being frank, is probably 50/50. And then the 50 in the development, it is not all greenfield. I would say large portion of it, two-thirds of that even, is probably existing properties looking to reinvest in their own assets. With respect to non-gaming, I would not consider anything to be in our pipeline on that front. I think there are plenty of discussions we have and plenty of things we look at. But I would not consider anything to be so close to being effectuated soon that we would consider it to be actually actionable in the pipeline.
Anthony Paolone: Okay. Thanks for all that. And then just my follow-up relates to the spending guidance for 2026. And as I look across pipeline and what you have teed up, I mean, are the—I mean, I guess Chicago is the obvious one, but where do you think the big swing factors are that can get you, you know, either at the low or high end or above the range there? Because it seems like there is enough teed up where, you know, money could get spent maybe perhaps above the range, but I would love to hear from you all what you think.
Desiree A. Burke: I mean, you know, the range was developed by, you know, looking at our development and it is all of them. But the largest one clearly is Chicago with the most spend in 2026. But, you know, there could be movement in timing of when it is funded or what gets completed and when it is completed. That is outside of GLPI’s control. So that is the reason for the spread between $575,000,000 and $650,000,000. And to be honest with you, that is not a very large spread. I agree with you. It could be higher. Could be lower. Right? It depends on how the construction is progressing at all of those projects, and there are five development projects currently going on. So it could, you know, we really did our best estimate of what we think will happen in 2026. And then, Anthony, just to add to that, two of the projects, including Live! Virginia and the Caesars Republic project, our capital does not turn on until other capital is spent. So you are looking at kind of the time in which that capital is deployed prior to us going in. So there is some ambiguity as to when we will eventually get started there.
Operator: Our next question is from Jay Kornreich with Cantor Fitzgerald. I just wanted to ask on the just the overall gaming transaction marketplace. As interest rates have come down a bit to start the year, is that opening up new conversations where HoldCo owners are coming to the table and starting to more seriously think about selling the real estate? Or is it maybe too soon to have a read on that?
Carlo Santarelli: I do not think too soon is the right answer, but I do not think a lot of these conversations pivot on the Treasury rate. Right? So it is not like someone wakes up one morning and decides 10 basis points changed their lives; now they are interested in the sale-leaseback. So most of these conversations are long-lived. I think that comps that happen in the marketplace dictate more how people feel. So when people see a deal get cut at 7.5% cap rate, all of a sudden, they decide that, oh, maybe I am more like a 7.5% cap rate. And then if they see things like the Lincoln transaction we did at 8%, hopefully, they are paying more attention to that and decide that the marketplace is more at 8%. But I say it in jest. But I think the reality is that those conversations do not just—it is not spur of the moment. It is not totally driven by debt. I think that if the credit markets were to gap higher, not really lower, but higher, I think that is when people maybe start to look at alternative financing sources as a sale-leaseback possibly being that solution. But just because rates get a little better, I do not know that it really changes a lot of the dynamic of the marketplace.
Operator: Okay. Appreciate that. That is all for me. Our next question is from Greg Michael McGinniss with Scotiabank.
Greg Michael McGinniss: Antonio, could you—we are just looking at the kind of the rent resets, the percent rent resets on a couple of the leases on the amended Penn call and Boyd master. You giving any sort of guidance on that front?
Desiree A. Burke: No. We are not. I mean, we are including the Pinnacle escalation in our guidance. I can tell you that. But the amount of the percentage rent adjustment, since it is going to happen in the middle of the year, fairly insignificant for the year. So we have not provided detailed guidance on that. Okay. Thanks. And follow-up. With this intensifying relationship with Bally’s. If we do kind of some back of mapping math, it does seem like that they are on the casino business at least given the debt structure even with the new term loan in place, which has all massively kind of improved the company. Casinos are still generating negative cash flow. I mean, do you guys view that differently, or do you think that it is kind of once Chicago delivers and Vegas opportunity in New York, they just kind of have to get through these next couple years and then everything is clean again.
Carlo Santarelli: Yeah. I mean, look. Not going to bless the math, but what I would say is, I mean, Bally’s is in, right now, a development period where they are in the process of three, you know, large-scale casino developments. And it has been a long time, but when you look at, you know, a lot of the companies in the gaming space today, I mean, a lot of them went through these areas where there was a lot of development, not a lot of in place to support it. And I think Bally’s continued down this path. It is clearly Chicago, New York, and Las Vegas, and it is a lot of, you know, incremental EBITDA associated with that stuff and a lot of spend to get there. But, you know, I do not think your math is necessarily wrong, but it is temporary.
Operator: Our next question is from Daniel Edward Guglielmo with Capital One Securities.
Daniel Edward Guglielmo: Hi, everyone. Thank you for taking my questions. On your call a few quarters ago, I asked if investors are too focused on what could go wrong kind of versus what could go right. And it feels like the 2026 guide is a testament to what is going right. So are you all starting to feel more supported on the equity side of things, or is there still kind of a ways to go?
Brandon John Moore: I think there is still probably a ways to go on the equity side. I will say, you know, we have been steadfast in our messaging on this. We have not been confused about what 2026 and 2027 would deliver. I think there are a number of different factors that Carlo highlighted near the beginning of the call that could be weighing on the stock, but the question is, you know, are we happy with a $46–$47 stock price? The answer is clearly no. We did our equity forward around the $48 price. We will give you a better indication of where we think equity might be actionable. But, no, I think we have some room to run in the stock, and I agree that what we are showing you for 2026 and into 2027 is what we anticipated, and we believe it should be reflected in the price.
Carlo Santarelli: Daniel, I will add to that. You know, Brandon mentioned the $48 level. We used the ATM. A lot has gone right since then. Numbers have moved in the right direction. You look at the stock. We are trading at kind of a two-turn discount. Our dividend yield is close to 7%. Our balance sheet is levered at a much more conservative rate than most of our peers. And our AFFO growth over the next two years is at a premium to most of our peers. So, you know, you put all that together, and I would not say that, you know, the stock where it is today is something that makes us incredibly happy.
Desiree A. Burke: The cap rate has definitely crept up. And that is, you know, not where we want to be.
Daniel Edward Guglielmo: Great. Yeah. I appreciate all that color. And then kind of a follow-up on the price. We generally think that property portfolio should trade at a premium to kind of single properties, but it does not seem like you guys are getting that benefit. Am I wrong in thinking that the portfolio premium just does not seem to be there right now?
Carlo Santarelli: Would not say that is wrong. You know, I think whether that is the reason or not, I do not know. But I would agree with your premise that obviously the portfolio provides a level of safety that the single asset does not necessarily provide, and hence, you know, a premium should be associated with that. But I think that could be one of several things that maybe our valuation right now is not fully incorporating.
Desiree A. Burke: I definitely think the cross-collateralization in our leases is a very important value point. And I certainly hope it is not not getting a premium. Right? Because it does give quite a bit of credibility to our leases.
Operator: Our next question is from John DeCree with CBRE.
John DeCree: Hey, everyone. Thanks for taking my question. I think you guys kind of highlighted in our note just how valuable your stock is right now. So I appreciate all that, Carlo. Maybe one question back on New York, maybe a nuance one, but you guys exclusive to Bally’s, Steve? I think you said, you know, we should not expect you to be kind of the majority of the financing structure for Bally’s. But if there were opportunities to partner or invest in the other projects, is that something you could or would look at?
Carlo Santarelli: Yeah. We are not exclusive to Bally’s. We would look, and I think I have said this on the prior quarterly calls when they had not yet won the license. I mean, we were open for business and happy to discuss other projects. I think the one thing that is worth noting, though, with respect to us being involved or having discussions, like, we do value ownership of real estate. And therefore, you know, we have yet to do a loan that did not have a linkage to either a future right to acquire real estate or some type of real estate ownership accompanying with it from the start. So I would think that any discussions we have with any of the other parties involved would be under the same type of guise, that we have to have a path to owning real estate or a piece of ownership of real estate to start with. So that would be the premise. But, yeah, no. We are not exclusive, and we are happy to have conversations. Give me a call.
John DeCree: Thanks, Steve. We have one more on Canada. So there is some discussion of possibly expanding in Niagara to the Vegas of the North, I think was the comment made. Have you guys spent much time studying Canada as a market that GLPI would look to invest in or own real estate in if the right opportunity were to come up and kind of what are your considerations there?
Brandon John Moore: Yeah. Yeah. We spent a lot of time looking at various projects in Canada. I think if you are familiar with Canada, you recognize that it is different province to province. So the economic drivers in each one are a little different. But if we can find the right project in Canada, we would certainly be interested in that. And part of the problem is there is, you know, some tax leakage in getting the dollar from Canada back to the U.S. So that weighs on the underwriting, but we have looked at a lot of different projects there and just have not found the one that was accretive enough for us to take the dive.
John DeCree: That is fine. That is helpful. I appreciate you guys fielding all the questions, and give Peter our best for a quick recovery. Hope he is back on his feet soon.
Brandon John Moore: Yeah. We will certainly do that. Thank you.
Operator: Our next question is from Rich Hightower with Barclays.
Rich Hightower: Yes. Most of my questions have been answered, but I will go back to, I guess, a little bit of the background on how the Lincoln purchase price was revised based on sort of shifting coverages. And for me, it brings up a larger question is, you know, if 2x coverage was kind of the gold standard previously, I think, you know, given all of the different factors affecting land-based gaming as we see them before us and, you know, in the context of 30-plus-year leases. I mean, is a higher going-in coverage maybe the superior way to underwrite these projects going forward? How do you feel about that?
Brandon John Moore: Well, I will start and then others can weigh in. I mean, I think a 2x coverage is still a nice standard to look at to start. I think each market and property is different. So you have to look at what the factors weighing on the different markets and the property in order to—and the health, you know, the credit level of the parent company, whether we have master leases or other properties that we can look to. There are a lot of different factors that go into the coverage, but I think as a starting point, looking at 2x is still probably the right place to start. But Steve or Carlo might have a view on that as well.
Carlo Santarelli: I mean, to state the obvious, we would love every lease to be struck at 3x coverage, but there is obviously a market dynamic and there is a negotiation that will take place. But I agree with everything Brandon said. I just think the reality is, of course, if all of our leases were covered the way the Cordish leases were covered and we were entering into each new lease at 3x, I think we would be totally comfortable with that and would be very happy with that.
Brandon John Moore: I think each of these transactions, you know, we are entering into partnerships for the most part, and there is a necessity for the tenant and the landlord to succeed in these. And so the tenant also has an incentive to balance getting the most dollars versus protection and coverage and flexibility in the lease moving forward. So these are all active discussions and negotiations. And would a seller take a coverage level lower than we would pay? Absolutely. Would a seller want a coverage level higher? And would that maybe knock us out of the box? Could be. But I think it is a dynamic conversation you have with sellers between sellers and buyers right now in the market. And, Rich, just to level set on that specific transaction, you know, as we pointed out, the four-wall coverage was north of 1.9x, and that was put into a lease that was robustly covered, and obviously could have taken on more rent, and that master lease now is north of 2.2x. So I think that one there is not necessarily entirely indicative of kind of a single-asset stand-alone given where it was going. Yeah. Yeah. I think you have heard from us in the past. We very much value four-wall coverage. And so when we look at these leases, we are not depending on corporate credit to support the leases. So we are looking at four-wall coverage. Corporate credit is nice to have. Parent guarantees are nice to have. They are valuable. But we are underwriting these to stand on their own. And so I think what you saw with Lincoln and our discussions with Bally’s was taking a little bit less rent upfront creates a little bit stronger coverage in that lease, and we were happy with that.
Rich Hightower: Alright. Great. Thanks for the color, guys.
Operator: Our next question is from Todd Michael Thomas with KeyBanc Capital Markets.
Todd Michael Thomas: Hi, thanks. Good morning. Just sticking with Lincoln, I guess, Brandon, was the competitive pressure that you cited was that specifically at Lincoln, or was it around some of the other assets in that Bally’s master lease? And then do you see those competitive pressures in the near term? Or do you think that some of those headwinds persist for a period of time?
Brandon John Moore: So my comment was unique to Lincoln. The Mashpee tribe at First Light has expanded their facility, but I think it has stabilized. So I do not think it is getting better. I do not think it is getting worse. I think we are comfortable where that is. A lot of their funding is coming from Genting. And Genting obviously has a very large project in New York now that they need to fund. And so we are less concerned about future expansion of that project. That being said, planning for the future and underwriting a little bit more rent coverage there seemed to be the prudent path, and that is what we did.
Todd Michael Thomas: Okay. Helpful. And then, Desiree, the use of the revolver to fund the majority of the $700,000,000—so that capacity or, I guess, amendment was completed back in December 2024, I think specifically for Lincoln. And post closing, can you just remind us now how that works? The bridge component to that credit facility, whether you are considering any interest rate hedges, and also, you know, when that can be sort of permanently financed? I guess, are the mechanisms around that now? And that funding, with the revolver?
Desiree A. Burke: Yep. So we definitely did plan for this in 2024. It was not just for the Lincoln transaction. We could actually use that bridge revolver for any transaction that we had that had a guarantee. We knew Lincoln was on the horizon at the time, so that was the primary one. We have also used it for the other transaction that we did earlier in the year last year for Bally’s. So we do not—like, no. We have $2,000,000,000, so that takes a billion off. That leaves us with over a billion dollars of a line of credit still. So we will, you know, consider what to do in the markets when the time is right.
Todd Michael Thomas: Okay. But that is all floating today on the revolver. Are there any plans to hedge some of that and then how long does that, you know, need to be outstanding on the revolver specifically?
Brandon John Moore: I think, Todd, we are actively looking at managing our balance sheet, and we understand the Lincoln transaction just came in. So I think you can assume we are cognizant of the fact that that debt is sitting there and it is variable-rate debt, and we are taking a look at that. And I think, unfortunately, that is all we can say at the present time.
Todd Michael Thomas: Okay. Alright. Thank you.
Operator: Our next question is from David Brian Katz with Jefferies.
David Brian Katz: Morning. Thanks for taking my question. I know that this has been discussed from a few different angles, but with respect to Bally’s, who is, you know, as Carlo pointed out, you know, in a very high development mode with a little bit, you know, with EBITDA coming later on. You know, particularly with Las Vegas and then New York behind it, you know, do you think about sort of putting, you know, any limitations or boundaries around exposure to a singular tenant during that kind of a ramp up? Or, you know, is that something you are comfortable just compensating for, you know, with cap rates and terms and coverage? Or, you know, is there an amount with any singular tenant that you would sort of put some boundaries around?
Desiree A. Burke: I mean, as you know, Penn—we have a very large exposure to Penn. You know, Bally’s exposure has been growing. So it is not that we have a limit on the exposure to a tenant. We really look at the assets that we are funding and the four-wall coverage at that property and making sure that it is a good investment option for GLPI. I would not say that we are going to put a limit on some tenants’ you know, how much of our balance sheet they are.
Carlo Santarelli: And the reality is, though, we did put a limit on them from the start in Las Vegas. Right? So we set a $175,000,000 total exposure.
Desiree A. Burke: And—
Carlo Santarelli: that is the limit on the project.
Desiree A. Burke: Correct.
Carlo Santarelli: Correct. Yes. So that is what I am saying. If the question is about New York and Las Vegas, we are going to look at each project and make a determination based on our underwriting of the project, the situation, what other capital is coming into the project. So I would say there is no hard and fast rule as Desiree was pointing out. But I think that you can rest assured we are also not diving headfirst into every opportunity just because of the name on the building.
David Brian Katz: Understood. And so you have not said this, but, you know, it is fair of us to infer that, you know, come New York, you know, there may be some limitations around that too.
Carlo Santarelli: Depending, again, depending on what the circumstances are and how it evolves.
Brandon John Moore: I think New York is somewhat unique in this sense. We would have to look at the total project, which we have seen. We do not fully understand, and think about how much exposure we would want. And the tenant may lean in; it may influence how much we would be willing to take in a project like New York. But I think overall at GLPI, we have to sit and look about how much exposure we want in any project. And that is effectively what we did in Chicago. We took a look at the Chicago underwriting and the project, and we wanted to cap our exposure at roughly $1,110,000,000. And that is what we did. And I think we would take a similar approach to New York. And Bally’s, as our tenant, may or may not weigh into how much exposure we would be willing to take based on where they are when that project funding is needed, if it is needed. I know that is kind of a non-answer, but the reality is I think this depends on the project and the tenant and a lot of the factors going into it.
Carlo Santarelli: David, and I think in New York, as you are probably aware, there is going to be no shortage of funding for them. And if there is an opportunity for us to play a role, as Steve said earlier, great. We welcome it. But I do believe that project in particular has quite a few suitors.
David Brian Katz: Yep. Appreciate all the commentary. Thanks.
Operator: We have time for one further question. Our last question is from Robin Margaret Farley with UBS.
Robin Margaret Farley: Great. Thanks for squeezing me in here. Just going back to the New York project, you mentioned that there is a lot of interest in financing it. But you have also previously, I think on the last earnings call, you talked about how you would want to see something—I forget your exact word, but it was, you know, significantly more than 2x rent coverage, kind of suggesting that maybe it was not as attractive to GLPI to fund it. So I guess if you could—I do not know if you could shed any light on that and given what you are describing as interest in funding that project, would you say the likelihood is that GLPI is not participating in that, given that you are—and maybe your feelings have changed since last quarter—but just on your thought about, you know, the risk factor there. Thanks.
Brandon John Moore: Yeah. I will have to go back and look at the comment on significantly more than 2x covered. I suspect that it had to do with our indication that we would like to own the land. And if we were to only own the land in that project, we would be significantly more than 2x covered. Would we do something down to 2x covered? I only say no because I think to get to 2x covered, you are going to have to invest in a majority of the build in the project. And I think what you have heard from us is we are unlikely to be a majority of all of the hard cost in the project. Therefore, our interest in a piece of that project is probably such that the coverage will end up being much higher than 2:1 on our piece. So we may have not been clear on that, but I think the point is our appetite for a piece of New York is probably small enough where the coverage will be quite high if we do it. That being said, we do have a significant appetite to participate in the projects in New York. We think they will be good projects, and I think there is a lot of detail that need to be flushed out for us to really make any kind of true investment decision. And as Carlo and others have alluded to, I think the ability to raise capital unique to the New York project will result in a very competitive field of suitors for capital. And we will not do anything dilutive. So what I think you will not see us do is compete down to a cap rate that is not accretive to GLPI. That will not be of interest to us.
Robin Margaret Farley: Great. Thank you.
Operator: At this time, I would like to turn the floor back over to Brandon John Moore for any closing remarks.
Brandon John Moore: Thank you. Yes, hopefully you have heard today, you know, we are very bullish for 2026–2027. I think we worked hard to create a pipeline that many of you have asked for over the course of our evolution here at the company, and we are actively looking to add to and extend that pipeline as we move forward. So we are excited about the days ahead. And we appreciate all of you dialing in. Thank you.
Operator: This concludes today’s conference. You may disconnect the lines at this time. Thank you for your participation.